Operator: Good day, and welcome to the Beam Global Third Quarter 2021 Financial Results and Corporate Update Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Kathy McDermott, CFO. Please go ahead.
Kathy McDermott: Thank you, Jason. Good afternoon, and thank you for participating in Beam Global’s conference call for the third quarter of 2021. We appreciate you joining our call for today. Since EDGAR is down today for Veterans Day, the 10-Q will be available first thing tomorrow morning. Joining me is Desmond Wheatley, President, CEO and Chairman of Beam. Desmond will be providing an update on the recent activities at Beam, followed by a question-and-answer session. But first, I’d like to communicate to you that during this call, management will be making forward-looking statements, including statements that address Beam’s expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the Risk Factors described in Beam’s most recently filed Form 10-K and other periodic reports filed with the SEC. The content of this call contains time-sensitive information that is accurate only as of today, November 11, 2021. Except as required by law, Beam disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. Now we'd like to provide an overview of our financial results for Beam's third quarter ended September 30, 2021. For the third quarter of 2021, we reported revenues of $2,020,612, a 63% increase over $1,237,434 reported for the third quarter of 2020. Revenues for the first 9 months ended September 30, were $5,514,102, a 38% increase over $4,009,644 for the same period in the prior year. During the third quarter, we deployed an additional 23 of the 53 units ordered by the State of California to the state wide department of General Services contract. We also delivered our first unit on a state wide Florida shares association contract. Most of our year-to-date revenue growth came from the state and local government and from federal customers. The third quarter of 2021 was also a strong bookings quarter. We received over 5.4 million in new orders during the quarter, which included three new federal orders to our General Services Administration contract. As a result, we ended our third quarter with over $7.1 million in contracted backlog. Gross loss in the quarter ended September 30, 2021 was $208,023 compared to gross loss of $188,732 for the same period in 2020. The first 9 months of 2021, our gross loss was $631,0020 compared to gross loss of $173,037 for the same period in 2020. The increase in gross loss was primarily due to an increase in costs for the new EVR 2020 system that rolled out during the beginning of 2020. We believe our production costs per unit for the new EVR 2020 will reduce over time as our operations and engineering teams improve the production process. We are also being negatively impacted by increased pricing of steel and other components, as well as shipping costs due to high demand and supply shortages. We expect this to continue into 2022. Operating expenses were $1,481,306 for Q3 2021, compared to $906,962 for Q3 2020. Operating expenses for the first 9 months of 2021 were $3,952,991 compared to $2,697,418 for the first 9 months of 2020. The increase in operating expenses was primarily due to an increase in noncash compensation expense for stock options, and vesting of director shares, increased sales and marketing expense to support revenue growth and an increase in research and development headcount to support development projects. The net loss for the third quarter of 2021 was $1,688,631 compared to $1,100,023 for the third quarter of 2020. The net loss for the first 9 months ended September 30, 2021 was $4,581,228 compared to $2,876,501 for the same period in 2020. The increase in net loss was due to the increase in growth slot and increased operating expenses. At September 30, 2021, we had cash of $23,078,452 compared to $26,702,804 at December 30, 2020. Cash decrease primarily due to year-to-date operating cash usage, partially offset by the exercise of warrants. Our working capital decreased from $28,068,322 at December 31, 2020 to $26,125,088 at September 30, 2021. And with that, I will turn the call over to Desmond to provide an business update.
Desmond Wheatley: Thank you, Kathy, and thank you to all of you who follow and support Beam for joining the call today. A special thanks to our employees, customers, shareholders, and all others who've served in the Armed Forces on this Veterans Day. We thank you for safeguarding our access to a life of freedom and security. I'm speaking to you today from San Jose, California, where we're taking part in the 2021 Fleet Forward Conference, which is a mobility event dedicated specifically for fleets. This year, it's heavily concentrating on electrification and charging infrastructure. Fleets, both government and enterprise form a very large part of our sales and revenues. So anytime we can put one of our EVR products into an environment where lots of prospective customers are gathering, we do it. I shouldn't say one of our EVR systems because as it happens, EV ARC that's here today belongs to the city of San Jose. We announced earlier this week that San Jose is the latest California city to start using EV ARC to power their fleet vehicles. And because EV ARC is transportable, San Jose may want their units available as a demonstration unit to help other fleets understand the benefits of an American made product, which provides rapidly deploying EV charging infrastructure without any construction or electrical work, which will never generate a utility bill and which will continue to provide EV charging and emergency power during grid failures or in locations where it's too expensive, too disruptive or simply impossible to extend the utility grid. It's always powerful for us to show off our products. But one of our customers demonstrates the benefits that they're getting with their own unit, the message is that much more powerful. Back to the quarter. The Beam team continues to execute on our strategic plan. And we're now seeing government, enterprise and even our peers within the EV charging industry and those companies which could be called competitors, increasingly and latterly singing from the same hymn book that we've been evangelizing for the last 10 years. It seems that during the last few months, particularly, everyone has come to recognize that rapidly deployed grid independent, sustainable and robust EV charging infrastructure is going to be vital to the inevitable rollout of electric vehicles. I should be flattered many who used to snigger and roll their eyes when I spoke of grid vulnerability, lack of capacity, glacial pace construction electrical projects, and an unrealistic expectation that everyone who drives an EV will charge at home are now saying that what's needed is lots of local storage and generation, faster deployments and more scalable solutions to provide public charging for the tidal wave of EVs that will arrive in the coming months and quarters. They’re right of course, and we have a portfolio of patented and tried and tested products to provide just those solutions. We might have been early to the party, but we have a solid first mover advantage and a portfolio of fundamental patents to keep us there. We keep getting those patents by the way. We just had another Chinese patent award in 2. The results of this increased appreciation for our products and business model are clear to see when looking at Q3 results and the implications for our near, mid and long-term future. It was a quarter in which we broke most of our previous records for performance. As of September 30, we have record pipeline of $75 million, plus record backlog of over $7 million, record sales within the quarter of over $5 million. Record Q3 revenue of $2.2 million, a record Q3 VR deliveries. And we did all of this with lower total COGS in Q3 than in Q2, even though we delivered more EVR systems in Q3 than we did in the second quarter. Reducing costs is not easy in the current global environment, but we did it. While we're on the subject of breaking records, I can't resist mentioning that during the quarter we set the world record for the longest flight of a production electric aircraft powered by nothing but locally generated and stored renewable energy. This feat in itself is actually even more important than it might seem because it demonstrates that our products have a dynamic and diverse capability to fuel almost any type of transportation as we see more and more areas electrified. I've often said that Beam's TAM is equal to all EV charging companies times combined because our products make any EV charger work. But it's interesting to note that it's not just specific EV charging use cases like for example sedans or buses or heavy duty or micro mobility that so many others single out concentrates on. The fact is that our products are being used to charge everything from single wheeled skateboards to full size buses and everything in between. Now, of course, we're not even limited to terrestrial transportation, having proven that we can deploy just as quickly and easily in airports, and further demonstrated that we can fuel production electric aircraft. This is important because it speaks to our TAM and our SAM, our serviceable addressable market, both of which cover all EV charging companies, but also almost all modes of transportation. As we release our new products like the EV Standard Curbside Charging solution and that UAV, our drone charging solution, you'll see even more market segments with proven and well protected technology solutions. This extensive reach is starting to impact our sales in a very beneficial manner. Our pipeline exceeded $75 million at the end of the third quarter. This number is significant because we got there so quickly after working hard for so long to get to $50 million in pipeline. You may remember that during the Q2 earnings call I reported and not without some genuine excitement that we just reached 50 million after 10 years of selling our products. The next 25 million came very much faster indeed. But what's perhaps more telling is what constitutes the makeup of that pipeline. In the past, we've seen lots of interest on one or two units as a prospect to dip their toes in the EV bath. And as an extension in the EV charging universe. We are often seen as a bit of an experiment and perhaps even a risky one. Of course, as we converted those prospects to customers, and as they learn to love our products, we did see repeat orders with larger volumes, but generally the interest was in lower volume orders. At the same time, the process to get prospects from initial interest to placing an order was long and hard. Our sales generally involved a great deal of education and hand holding to get our prospects to a point where they had the confidence to move forward with even smaller orders. We knew that choosing an EVR was the safest, easiest and lowest total cost of ownership for our customers, but they did not. And we had to work hard to get them to that level of understanding. We're seeing a significant shift in our approach to buying our products. While we're still receiving onesie-twosie orders, our pipeline also includes many opportunities which start with larger volumes, even from prospects who have never before used the product. Order size of 5, 10, 15, 20 and even more units are increasingly moving through our pipeline, and something else is happening. Instead of taking months or even in some cases years to go from initial interest of purchase order, our sales process is accelerating. There's a definite increase in the urgency which we're hearing from our prospects. And that combined with a greater familiarity with an acceptance of our products is translating to a far faster process to develop sales and prospects through the pipeline. A great example of this would be our recent order from the US Marine Corps. This order for 21 EVR systems was placed within weeks of our generating a proposal. These EVR systems will be placed in 14 Marine Corps bases and provide charging for non-tactical vehicles. We do not believe this will be their last order. Our GSA contract and the federal government mandates to electrify all 650,000 vehicles in the federal fleet will soon make the US federal government today the world's largest consumer of gasoline and diesel, the largest consumer of EV charging infrastructure in the world. Our American made shovel ready clean, green secure EV charging infrastructure products are a perfect solution for their rapidly increasing requirements. No wonder we're seeing growth in federal prospects in our pipeline and purchase orders being placed through the GSA contract. So the pipeline is bigger than it's ever been. It's full of larger orders than we've been used to and also orders are evolving from pipeline to backlog at the fastest pace in our history. And the truth is, we don't think we've seen anything yet. All the indications are that this trend will continue and with more urgency and scale as the EV industry evolves, and particularly as the recent NIS infrastructure bill starts to distribute funding. We love urgency, because our products are the fastest deployed infrastructure solution in the world today. We do get a chuckle when we hear about the Feds talking about the fact that it might take some time for many of their infrastructure projects to be shovel ready. Shovels, we don't need no stinking shovels. Our products are deployed without construction and even without permitting. There's no faster and more meaningful win. then funding and deployment of EVR systems which provide the driving on sunshine experience on an American made product across an entire city in less time than the grid tied installers take to get building electrical permits to build a couple of sites. We continue to see good signs of advances in our sponsorship business too, it's a slog. But I think we're getting there. We're not including any of this opportunity in our pipeline number. But I believe that the volumes associated with sponsorship wins will be another significant driver in growth, and with a highly profitable recurring revenue stream. A growing pipeline is only good news if we can convert that pipeline to backlog. And we're doing just that. Our backlog at $930 was over $7 million. That's greater than a full year revenue in our history. And it grew while we were executing on orders and converting backlog to revenue. I've often stated that if we take a sense of the conservative view and what we include in pipeline, rather than simply adding anyone that showed even Vegas interest in our products, as we know some others do. Well, the proof for that statement is contracted backlog. And you can clearly see that we're converting prospects into customers, and at a faster pace, and with greater volume than ever before. Here again, all the data points of this trend continuing and accelerating. Much of this backlog comes with a requirement to deploy within 90 days of the receipt of a purchase order. As long as our customers make the locations available within that time. This has us busier than we have ever been in the factory. The level of backlog which of course we keep adding to is also such that we will enter '22 with a larger and robust backlog, something that we've never done before. And almost every year of our existence, we've more or less exhausted backlog at year-end and had to start all over again at the beginning of the following year. That will not be the case in '22. This is obviously very good news on a variety of levels. But most especially where our efficiency is concerned. The factor is much more efficient, and hence our cost structure much less negatively impactful when we operate with a continuous stream of throughput than when we stagger in fits and starts throughout the year. Backlog is of course only good if we convert it to revenue. And in this instance to we've demonstrated improving ability to do just that in Q3. We generated more revenue in Q3 of 2021 than in any Q3 in our history. This can hardly be described as a period of plain sailing for anyone manufacturing in the U.S. Supply chain hurdles and a tight lane, but labor market are making it as challenging as I've ever seen to produce and deliver product. At the same time. As I reported during the last earnings call, we have some internal challenges to overcome, particularly where personnel were concerned. Even in that environment, we completed and shipped more units than in any previous Q3 and did so while simultaneously making improvements to our factory, so that we continue to increase our efficiency and throughput as demand for our products accelerates. You may remember that during the Q2 earnings call, I explained that our gross profits have been depressed by some stupid mistakes of our own making. We did not manage the business to the level that I expect or that I owe to you the shareholders. While it's true that we cannot control macro cost shifts in the commodities or manufacture components that contribute to our Bill of Materials, we can and must continuously impact and improve our own internal processes and efficiencies. We did just that in Q3. Our cost of shipping for example is reduced at a time when shipping costs are skyrocketing globally. We manage this through a more intelligent and disciplined approach to the way we ship the product. Importantly, we reduce our shipping costs while at the same time improving our on-time delivery record, proving that we can reduce costs without negatively impacting quality or the customer experience. On the contrary, we improve both, while spending less. Our COGS also decreased during the period when compared to the prior quarter. Even as COGS outside of our control increase. Just like everyone else we've seen increases in the cost of materials and components that we integrate into our products. But the homegrown costs, those that we have control over, have decreased as a result of our relentless focus on improving our efficiencies and discipline around our manufacturing processes. I think it's important to point out that while we expect the increases in cost for components to be with us for a while, we do expect them to be temporary, driven by a supply, demand imbalances caused by COVID, rather than any macro inflationary trend. As a result, when costs of materials normalize and are combined with our internal improvements, we expect to see a significant improvement in our profitability. We don't think it's if just when. We continue to make improvements in our factory. I'm not talking about huge sums of money, but I am talking about material improvements to the environment and our tooling, which we believe and have already observed make our manufacturing process more efficient, and also importantly safer. I'm very happy with the evolution that I see taking place. We've hired some talented individuals to help us to continue to execute on these goals. And here again, I can see the impact already. I will make sure that we continue to make the investments needed to position us to take advantage of the very significant increase in demand for our products, which I believe is coming. I'm not alone in that belief by the way, Just the other day, I had the opportunity to walk a prospective customer through our factory at their request to help them feel confident that we can increase our capacity to meet their requirements. That could give us a very meaningful order. And I'm not reporting today that they did that. But I am telling you that we and the industry in general have evolved to the point where we're being asked these sorts of questions and need to demonstrate an ability to execute on much larger volumes. I cannot know what the outcome of that specific meeting will be. I do know that the prospective customer left feeling confident that we're well-positioned today and clearly able to scale up more tomorrow. I've also learned after decades of running businesses that if you have enough of those sorts of meetings, and you have the right product and a proven ability to provide it, at least some of those meetings result and wins. I'm guiding my operations team to prepare for those sorts of orders in every action that they take. Most of our customers are just at the beginning of their electrification efforts. They have the ability and will have the need to place much larger orders in the future. We have a proven history of proceeding repeat orders from our existing customers. And often with larger volumes and following orders than in the initial purchase. We'll continue to pursue these sorts of successes with our ever broadening customer base. It's very clear that there will need to be a dramatic increase in the amount of EV charging infrastructure over the next few years. The recent infrastructure bill will open up a level of funding that our industry has never seen from all sources combined. Beyond that, the new and exciting lineup of EVs, which now include pickup trucks and SUVs will I believe usher in a new era of consumer adoption, the likes of which we've only dreamt about in the past. When thinking about Beam's place in this growth engine, described by Morgan Stanley's a $6 trillion infrastructure build out, I want you to consider a couple of salient factors. Number one, we've developed a clean tech products which compete not with other EV charging companies, we enable them, and not with the utilities who have them as customers. Rather, we compete with the construction and electrical industry. Our products displace the need for construction and electrical work. And as a result, the need for environmental impact studies, permitting and all the other costs and risks associated with installing traditional grid tied infrastructure. Never mind the utility bills that come later. The traditional industry is currently predictably inappropriately choosing all the low hanging fruit locations to deploy their grid tied chargers. Somewhere that has an existing electric circuit, and is close to a place where people park. EV drivers like me have become used to charging next to the dumpsters find a supermarket because that's where the power is most accessible. So that's where the charters go. This approach is all very well for early adopters of EVs who are willing to play the game. And it will work as long as the number of EVs on the road is low enough that that's all changing. The next generation of EV driving consumer will not be content heading off to some shadowy location to queue up, while other drivers who got there before them charge. The deployment of grid tie charges is going to get more expensive, more complicated and more time consuming as the low hanging fruit locations are plucked, and the industry is forced to put charging where people want it and in the volumes they will need. We on the other hand, on the opposite trajectory, with everyday we get better at what we're doing. We get faster, more efficient and less vulnerable to risk and we can put charting where people wanted, upscale and quickly. So as the grid tied industry runs out of capacity, and see is greater and greater costs, risks and complexities. Our costs come down, we get faster, and our products become more and more energy dense and more able to provide more charging. No such evolution is taking place on the grid. This may not take place overnight, but in my opinion, it's inevitable. And it's great news for Beam. Think about it yourself for a while. I’m worried about our operating expenses? No. They have increased as I said, they would. I've committed to investing in sales, marketing and R&D. Looking at the 10 areas where we had meaningful increases in operating expenses in Q3 of 2021 when compared to the same quarter from a year earlier, two are noncash and the top five cash are sales, marketing and R&D costs. The remainder insurance and filing costs which are out of our control. Said another way, our discipline around cost control has not lessened. Costs that have gone up which are within our control have gone to investing in the business. And the results are clear to see an increased sales and marketing and making sure that we have a seat at the table when government decisions on spending and language and bills are made. Those -- that are out of our control or nevertheless information tooth and nail to ensure that we pay as little as we have to for fees and services which we cannot choose or deny. We find some good wins on the governmental policy and relations front. We were added to the CALeVIP program, which means that our customers can use those funds to offset the cost of our products where we were previously not included paradoxically, because we did not connect to the utility grid. As the federal government considers the methods and the language which will govern how infrastructure dollars are spent, we're making sure that those sorts of exclusions do not prevent them from getting what they need. And what we produce off grid resilient, rapidly deployed highly scalable, clean and green charging infrastructure delivered by an American made product. And so we operate through the fourth quarter and into the future with record backlog, record pipeline, and improving factory and sufficient operating capital to allow us to execute on our strategic plan well into the foreseeable future. Our cash and operating capital position is such that we have no need to consider needlessly diluted or poorly priced financings. In fact, we have no need to raise capital at all. I'm still looking for strategic growth opportunities, and we'll take advantage of them if and when they arise. But only do that if, after the appropriate analysis. It's clear that they're in the best interest of the company and as a result, the shareholders. It's a great time to be Beam. And I thank all of you for being involved. That concludes my prepared comments. So I'll now return the call to Kathy and the operator and take any questions, which I hope you have. Kathy?
Kathy McDermott: Thanks. Yes, operator, could you please queue up the question?
Operator: Thank you. [Operator Instructions] Our first question comes from Tate Sullivan from Maxim Group. Please go ahead.
Tate Sullivan: Hey, hi. Dozen thank you for taking my question.
Desmond Wheatley: Tate, hi.
Tate Sullivan: Looking at -- hello. Looking at relative growth rates in the sector, I mean, as more of these on grid EV charging company in the [indiscernible] and are reporting year-over-year growth rates and you commented earlier that your total addressable market is at larger and larger than those companies. Did you expect to have similar growth rate [technical difficulty] those companies, or a lower rate of growth because your EV ARC is maybe more expensive on a per unit basis. How should I and how do you look at that?
Desmond Wheatley: I think that's going to be an evolution too. And again, this goes back to the comments I made about the fact that it's going to get more expensive, more complex and more risky to install grid tied infrastructure. As the grid type solutions have to be deployed further and further away from existing circuits. And as capacity is exhausted, on an on-site, or local or regional or even national level. But also there's something else going on here too. It's -- and I don't mean to sound unkind, but it's unimaginative to connect to the grid, right? That's a sort of normal thing that you would do. And so people who don't know much better do that. What we find is that when people see our product, understand our product, they quickly move away from thinking that connecting to the grid is the idea, and this is why we're spending so much money, so much more money on sales and marketing. Because the truth is that when people see and understand the product, they want it. I'm learning that with absolute bells on it today, here in San Jose, as all these fleet operators, for the first time are exposed to what we do, and their eyes are popping over their heads. So I think what you'll see here is in the early days, predictably and understandably, you see people connect into the grid, but for a whole host of reasons capacity, robustness, cost, risk, and everything else, you'll see that start to tip in the other direction. And so I'm very bullish about our future and actually expect that our growth rates, which maybe in the beginning while people learn about the product are lower than the typical grid type stuff will soon surpass because at the end of the day, speed is what's going to be required, robustness is going to be what's required, and lowest total cost of ownership. Just on that comment you made about our products, is that more expensive? Actually it isn't. When compared to any of the locations where we're deployed, we are less expensive than the avoided [ph] cost of construction day one. That's why our customers buy our product. And then when you add in total cost of ownership, utility bills don't come from blackouts and brownouts and all the other things like permitting and everything have to go through. We are very, very competitive. And that's today, obviously, as our volumes increasing as it gets more expensive to do the grid type stuff, that -- that's an ever improving picture for us. And it's going completely the opposite direction for the traditional installer.
Tate Sullivan: Great point. Yes, yes, absolutely. Including those construction and electrical costs on other products, on grid products. So both those sales …
Desmond Wheatley: And the utility bill.
Tate Sullivan: Just if I may squeeze another on the Volvo sales channel, where you can sell your -- where your EV ARCS are paired with the electric construction equipment. Is that a global sales channel? Or is that U.S [indiscernible] start and as part of that in your 75 million pipeline as well, please.
Desmond Wheatley: Yes, we have nothing in the pipeline from that opportunity. But it is a fantastic example of another thing which I mentioned in my comments about how our products are able to charge any type of electric transportation or almost any type of electric transportation product. And so here you see this product that we initially developed to charge sedans, no charging, construction equipment, Volvo construction equipment is putting our product in their catalogue. When you think about all this construction companies are increasingly being forced to give up their diesel powered vehicles because of pollution prohibitions, because of noise pollution prohibitions, because of the expense of storing diesel on site, and all these other things like this, they're having to move to electric construction equipment. That's an inevitable process. And of course, there's generally never any electricity on the sites where they're moving [indiscernible] because of the nature of the way construction projects advance. We give them an opportunity to charge those vehicles without risk, without liquid fuels, and with no unit cost of the energy. So we view that as a great opportunity. It's quite a new relationship. And it's a very new industry. It's newer than sedans. So as a result, we don't have anything in pipeline from that yet. But we view a great deal of upside potential from that industry. It's a multibillion dollar industry. And as of the moment, there really isn't a better solution than the products that we have to fuel it.
Tate Sullivan: Thank you, Desmond.
Desmond Wheatley: Thank you, Tate.
Operator: The next question comes from Sunny [indiscernible], a Private Investor. Please go ahead.
Desmond Wheatley: Hello, Sunny.
Unidentified Analyst: Hi, Desmond. Just wondering if there's been any more developments on the sponsorship since the last earnings call?
Desmond Wheatley: Yes, there's an endless evolution of development on the sponsorship thing. I can't go into a lot of detail about that. But the answer, the simple answer to your question is yes. So let me answer it in a different way. Are we closer or further away from making that a success? Closer.
Unidentified Analyst: Okay, perfect. And regarding the EV standard, do you still see coming out within 2022? Or you still focused on improving the manufacturing costs on the EV ARC?
Desmond Wheatley: Yes, to both questions. We are still focused on improving -- reducing costs and improving the EV ARC because without a doubt the product that we're getting the most interesting. But at the same time, we recognize that EV standard is a very important product to our future, and indeed, to the future of industry. And so you will see us putting more emphasis on that. And the simple fact of matter is we are recruiting. We're in the process of seeking more engineering staff and the kinds of people who can help us with this, because we really don't want to be shooting off one of those targets. We want to be shooting at both of them and then frankly, right behind that the UAV ARC.
Unidentified Analyst: Okay, perfect. Just one last question. I'm not sure if you covered already. Regarding the production rate, how much is it right now? How many units you shipping out per week? Is it still four or has it improved?
Desmond Wheatley: Its improved. We are aiming to get a unit day out at this point. But as you know, we intend to go much farther than that as well. We actually now have six workstations in our final assembly facility. We do not have those populated with staff as yet, but we're scaling up there as well. And the definite goal is to get to the point where we can get a unit, a workstation a day, but that will take us some time. There'll be some investment to get to that point. But we have lots of opportunity to grow there. The really good news is that the demand is ramping up so quickly that that's something that we will do less aspirationally and more because we have to.
Unidentified Analyst: Okay, perfect. Thank you, Desmond.
Desmond Wheatley: Thanks, Sunny.
Operator: [Operator Instructions] Our next question comes from Vikram Bagri from Needham. Please go ahead.
Desmond Wheatley: Hi, Vikram.
Tyler Bailey: Hey, Desmond. This is Tyler, I'm filling in for Vikram. [Indiscernible] jump off.
Desmond Wheatley: Hi, Tyler.
Tyler Bailey: Thanks. Yes, thanks for taking the question. So once I just you've managed navigating the supply chain, you have lower costs, which is great. Just wondering if there's going to be any spillover into Q4 though, and wondering if you had any shipment delays from this quarter?
Desmond Wheatley: Shipment delays will not be caused by upstream supply chain problems, our inability to get our hands on the components. Although believe me that has become trickier. And we have seen cost increases particularly with steel and some other things, but as I said, we believe that those are -- they're more to do a supply and demand imbalance than any fundamental economic influences. And we believe that those things will be corrected in 2022. Transportation, frankly, is the biggest threat to us. As everyone's reading 80,000 short of truck drivers in the United States today and all these other things. So we're going to work hard. But as I said in my comments, we've actually improved our processes, we're much more efficient, we're going to have a much less at the mercy of third-party operators. But I can tell you we're keeping an eagle eye on that because we can produce products all day long. But if we can't get them to the customer site, that's not obviously going to do us our revenues any good. So none of this is easy. We're offering in a very challenging time at the moment, but we've improved over Q2 and we intend to continue that improvement as we move throughout the year.
Tyler Bailey: Okay. Thank you. And one other one too, I just want to ask in reference to the pipeline. I think you mentioned you got up to -- from Q1 50 million to 75 million and this -- it sounds like this quarter, you're right around that 75 million mark. I’m just trying to back into that is, so we take the, I guess the 5 million in new orders, that -- was that additional or accretive to this quarter.
Desmond Wheatley: So to be clear, it was the Q2 to Q3 move was the move from 50 million to 75 million.
Tyler Bailey: Okay.
Desmond Wheatley: The 5 million, of course, we know also have over 7 million in backlog. So this is a constant. The trains moving through the station all the time, right? Pipeline being converted, the backlog being converted to revenue. And so what you're seeing is an increase in pipeline, an increase in backlog and an increase in revenue over prior year, all happening at the same time. And the only way that can be happening is if we're adding even more sales and so that's what you saw.
Tyler Bailey: Got it. Okay. That's helpful. And then one other question quickly. The Marine Corps win, obviously a big win for you. What's the opportunity there? I haven't seen many [indiscernible] type installations in military applications. But what do you guys see is that is there room for growth there? Obviously, it's a huge need and construction is one thing, the military is another just because you have the security and the off grid application. Just wonder if you could speak to that a little bit.
Desmond Wheatley: Yes, so resiliency [indiscernible] absolutely crucial to them, they cannot afford to lose their infrastructure and so that the centralized vulnerabilities that come along with grid connection is a concern for them. Let me put it like this. We did a future warfighting exercise at Camp Pendleton with the Marine Corps where we placed EV ARC in remote environments. This is important to understand, because at the moment, what they're doing with our product is for non-tactical vehicles. But I will say this to you, the General who run that, watch future warfighting exercise at the end of it, there were drones and robots and all kinds of toys there. And he said, and I'm paraphrasing here, he said, all your toys are great. But what I really need is a solution that prevents me from having to take liquid fuels to a forward operating environment. And of course, that is what we offer. And so just to -- almost amusingly tell you we had a good deal of discussion with certain people in the Marine Corps about having a non light EV ARC, [indiscernible] EV ARC or whatever. And so that gives you this idea that of a tactical solution. I must stress at the moment, we have no order for tactical, but clearly moving to electric vehicles is in their future, both tactical and non-tactical. And as I mentioned, all 645,000 vehicles in the federal fleet will be electrified. They are -- they will be the biggest buyer of electric vehicle charging infrastructure in the world. By far, we have a GSA contract in place. Our product is a Made in America, shovel ready, and also a disaster preparedness product. So call me crazy, but I think we're in a bloody good position to get a very good share of that business.
Tyler Bailey: Appreciate it, Desmond. Thanks for taking the questions.
Desmond Wheatley: Thank you.
Operator: The next question comes from Amit Dayal from H.C. Wainwright. Please go ahead.
Desmond Wheatley: Hi, Amit.
Amit Dayal: Hi, Desmond. Congratulations on the execution so far. Prospects look pretty solid for you guys. With respect to the sponsorship side of the opportunity, you said you're closer to closing on a deal. At what stage are we at? How many people are we speaking to? Any granularity on that would really be helpful. Thank you.
Desmond Wheatley: We are speaking to quite a lot of people. And to be clear, we have engaged a consultant who does nothing, but sell sponsorship opportunities for stadiums, for transit systems. As you go through major cities in United States and you see a stadium with a name on the side of it, or a transit system with advertising on the side of it, these people -- this is all they do and they're the best at it. And they are speaking to lots of people, they are keeping me really busy because as they move people up through the pipeline of understanding, then I get engaged with them. I really cannot go into detail about where we are with whom. But I can tell you that we are busy with that. And again, I believe it's a -- certainly not an if, it's a when in my view and the kind of people I'm talking to, frankly, you could probably guess it, who many of them are. Many of them just a couple years ago, said the EV charging infrastructure would be nothing to do with them. And yet now we're seeing very increased interest in it. So I'm still confident. I know everyone is frustrated with that. No one is more frustrated than I am about it, but we will get it done. And one of the things you'll notice about Beam in general over the years is we quite often take -- perhaps take a little longer than some people would like to see, but we always do what we say we were going to do and I don't think this is going to be any different.
Amit Dayal: I appreciate that, Desmond. I don't think they’re frustrated. They're just looking for some additional visibility.
Desmond Wheatley: Well, I'm frustrated. I want everything to happen faster.
Amit Dayal: Maybe one way people are looking at this is, in our minds, we are thinking of hundreds of units being deployed in one sponsorship deal. Could it happen that maybe you do a smaller deal just to get people going and piloting at some, maybe 10 units, 5 units, whatever it is just to get everything started, but with multiple sponsors.
Desmond Wheatley: So you will not see us do any large markets in that way. I'm not going to say to you that if someone said, hey, there's a neighborhood around such and such a refinery in Texas or something and we'd like to do this and so that people view us differently, that we would say no to a smaller deployment like that. You will not see us doing at San Diego wide deployment or anything like that with a small number of units. Because it just -- it doesn't make sense to do that. It's worth being patient. It's worth hanging in there to get that big win. And you're right, I believe it could be hundreds of units.
Amit Dayal: Okay, thank you. That's all I’ve Desmond. Thank you so much.
Desmond Wheatley: Thank you, Amit.
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I'd like to turn the conference back over to Desmond Wheatley, for any closing remarks.
Desmond Wheatley: Good. Well, thank you for your questions and thank you for your attention today, especially on what is for many people a holiday. Again, I feel really good about this company. We've been working on this for a long time. And I think what we're seeing now is many of the things that we predicted, many of the things that we hoped are starting to come into fruition. So it's nothing, but a bright future for us right now. We're busy like that. We're going to get a whole lot busier. So please stay tuned. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.